Christel Bories: Good morning everybody and welcome to the this Presentation of the Half Year Results for the ERAMET Group. I know that this is a very busy day for most of you. There's a record number of results being released around the world today. So, thank you very much for being with us. I will be giving you our comments on the results of the company with our new CFO, Nicolas Carre and I'm going to make a brief introduction to recall the highlights of the results and Nicolas will present the operating and financial performance, and I'll conclude with our strategic roadmap and our outlook for the year. By way of an introduction, clearly ERAMET's results for the first half are good. In fact they are historically speaking the best that the group has ever posted over a six-month period. EBITDA was close to €1 billion posting €982 million. We beat our production records in our mines. Safety has continued to improve and it is important to beat financial production records, but this has to be done while ensuring safety. Free cash flow is at a record level, close to €500 million, we'll be going back on that and the debt ratio is significantly down. These results were achieved against the backdrop of high prices both on our sales prices and also on our costs, notwithstanding the slowdown in China, which as you know is our biggest market. These results were not merely financial results. I mean as I've said we've continued to improve on our RSC -- CSR and strategic roadmap. And our got stronger capital base enables us to face headwinds, while ensuring future growth. Now, there are some items which I would like to emphasize in the introduction. Number one, it's the particularly favorable price environment in the first half. We produced at a high level where service enabled us to benefit from the very high price level at the beginning of the year. As you can see on this slide, overall, all the external factors were positive in excess of €700 million over the first half of last year. This is a very big rise with over €800 million simply from the price environment half of which came from manganese alloys and that's a very important point. We're publishing for the first time the EBITDA for the Manganese BU. This as a very high EBITDA for the first half due to the positive squeeze effect on manganese alloys a very specific feature of the first half. We also had the favorable impact of foreign exchange, €85 million due to the dollar exchange rate. And we also suffered from higher prices across the board in particular, on input cost because energy and coke cost almost €150 million over the first half. And we also had higher freight costs compared to the first half of last year. And although the freight level is below its peak of autumn 2021 it's nevertheless very high and higher than the first half of last year. The second point I wish to emphasize is that we're continuing to make progress on our CSR roadmap. As you know ERAMET's -- is to become the key reference for the responsible use of the planet's resources for the wellbeing of mankind and we are among the leaders on most CSR issues. We're continuing to make headway and on this slide you can see some of our achievements in the first half. I've spoken about safety. We have reached very low levels in accident frequency. We're amongst the top of the class in terms of the number of accidents down 20% on the first half from first half 2021. The overall rate of accidents stands at 1.8 year-to-date. And look at -- looking earlier at Mines and Metals activity, we're even as low as 1.2 which really puts us in the top performance in the industry. We've continued to make progress on climate issues. All our group mining and metallurgical sites are ISO 50001 certified. We are continuing to put ourselves on the best standards in terms of CSR. And reference for this is the IRMA standard. We've started -- with first self-assessment of our mine Centenario, in Argentina. This is a project, which is in the process of being built. It's going to accelerate energy preservation. It's very important, that we'd be among the top performers in this area. And extra-financial performance continues to be well rated by the market. EcoVadis, confirmed Gold level with a slight increase. In fact the Gold level, it's the top three companies -- within the top three companies of companies in the sector, of the best performing companies in our sector. Meaning that ERAMET is a referenced, which is consistent with our mission in its industry for everything related to sustainability. We have also improved in terms of, social impact, impact on communities with a renewed agreement with the host communities in Argentina. Now that the lithium project's construction is underway, we have worked several years very hard with the communities, on the basis of -- regarding the new site. We have two CSR funds, which we've created with the Gabonese government. CSR funds, which have an allocation of over -- an endowment of over €11 million with substantial impact both on local infrastructures and on the local economy. We've focused very much on non-mining activities. And we've launched an initiative called Women for the Future, which is a program that seeks to promote women's entrepreneurship in Gabon, with incubators and help for women entrepreneurs. In terms of biodiversity, we are continuing with our initiative. Just one point on this, we have plant nurseries, on each of our mining sites where we have all the endemic species, which means that we can ensure the recovery of endemic species in our -- we had 0.98 ratio in the first half close to 1. And in actual fact, we want to be above one on rehabilitating, more than we clear on our mining sites. And for the 2.5 years -- the past 2.5 years, we were in fact in excess of 1.09 over the period. The second point, concerns the progress on our strategic roadmap. As you know, the refocusing of our portfolio on mining and metals is almost completed. Sandouville closing is almost completed. We've signed the MOU for the sale of Aubert & Duval. We've signed the binding agreement for the sale of the site. This should be completed by the end of the year, as soon as we have the relevant antitrust authorizations from the various countries. And we are going ahead with the sale of ERASTEEL, which is beginning as we speak. Now this refocusing, will be completed by the end of the year. This enables us to focus on our growth projects. The first one is to be well positioned on our historical sites, longstanding sites and also on the energy transition. We have moved -- made quite good progress, because as we announced we've launched the construction of the lithium plant in Argentina, which is fully -- is going according to plan and should be commissioned by April 2024. We're making good progress and I'll come back on this -- on the project with BASF, with the nickel/cobalt project in Indonesia, Sonic Bay. And we're in the position to make a decision by the end of this year, or the first few weeks of next year. So we're making very good progress on all these fronts. That's what I wanted to say, by way of an introduction. And I will now, give the floor to Nicolas, who will present the financial results and the operating performance.
Nicolas Carre : Thank you, Christel. Good morning, everybody. Well, I'm going to give you some details on the financial performance for the first half of 2022. Now all the figures that I'm going to present are figures on the basis of IFRS 5 taking into consideration the new scope of ERAMET, unless otherwise specified. So the first chart sums up the figures on which Christel, has already made some comments with very strong growth in sales. EBITDA close to €1 billion for the first half of the year. And the important point here is that the €982 million EBITDA represents a 37% margin on our sales, which is almost double that of the first half of 2021. This enabled us to generate a net income which is at a record level in the first half of 2022, €783 million, versus €123 million in the first half of 2021. And looking at the net income group share results, we're close to €700 million which is a record level. In terms of balance sheet, the section financial performance, I'll go back -- I'll give you some details on the cash flow. Enable us to reduce the debt load to €748 million, which is approximately €200 million less than the level of end 2021. And this has enabled us, as Christel has pointed out, to achieve leverage of 0.4%, which is the lowest level over the past five years. Now going into further detail. The bridge which enables us to explain the results in the first half where quite a lot has been said already. One point that should be highlighted is that, the first half saw very strong external factors with a positive impact, as Christel pointed out. The price effect, which accounts over €800 million versus the first half of 2021 and this is positive impact for all of our business units, as you can see in the detail. And I'll go into further detail for each market as we go through the presentation. With some impact which -- with an increased emphasis in the first half. Our energy costs were up and also the cost of reductants for our metallurgy prices and also freight cost. But the net result is still very favorable €700 million just above. But this is fluctuating and very important for the outlook for the second half. Looking at our intrinsic performance, €37 million. The reason that accounts for this negative figure in the first half is that, we continued to invest in structural costs in order to be able to not only deliver current growth but future growth in particular on our business in Gabon. And this was part of our outlook. This accounts for the negative impact. And the other point here, we've spoken about cost inflation on index-linked factors such as energy, freight, et cetera. And we also had inflation on our structural costs. And this applies to almost the whole of the market in actual fact. And we should emphasize that looking at our intrinsic operating performance we include this inflationary impact, which is perhaps not quite right in terms of our own performance. Now looking at net income, as indicated, our net income is at a record level, because net income group share is close to €700 million versus virtual breakeven last year first half. What I would emphasize is, the shared income from associate -- shared income from associated companies. This is generated by our minority interest. And this concerns Weda Bay. And we note that for the first half of 2022 the results virtually doubled on the result of the first half of last year and you'll see to what extent this is important for the cash generation, generation of cash flow in the group and this is something that is going to persist. Looking at the first half, we invested to the tune of €677 million excluding lithium and this -- €217 million. Now for lithium almost the whole of the project is being funded by Tsingshan. And this is wholly funded by partner on the project, that's why we track this separately in our results. In absolute terms, including the €33 million of CapEx for the lithium project, we stand at €250 million of current CapEx. And given the backdrop, which I'll go into a bit later, regarding the uncertainty surrounding the market, we decided to slightly review our guidance for the whole of 2022 to the tune of €500 million. It was previously €550 million. So we intend to continue to invest in growth, so this does not call into question our growth prospects and to continue to invest on those investments, which would enable us to create value quickly. And that is why we've maintained a significant amount of CapEx and we decided to emphasize on those products, which were not most necessarily 2022. So the last point on this side is the amount of CapEx, which is being invested in Gabon. This breaks down into two parts. The investment in the Moanda mine. We're continuing to increase our production and also on our rail network, which enables us to transport all of the production and also other activities in the country. Another point which we should specify is our working capital requirement, which has improved in recent years on which we worked very hard. It's increased quite significantly in the first half, because it stands at €361 million. Now there are different ways of reading the figure. So I think we should spend as well on this for a few moments. Firstly, there is direct impact. The activity on prices are higher when the -- and with higher prices higher production. This increases working capital to mainly customer receivables. The same goes for volumes. And also the impact of the cost on inventory and volume can have an impact on inventories. So this accounts for well over a half. That's the first point. The other point that we should emphasize and that's why we indicated the number of days that this represents in terms of sales. At the 30th of June, we have a seasonal impact. Traditionally, we have working capital requirement, which is higher in the first half, for example, 47 days at the end of the first half of 2021, whereas it was at 39 days at the end of the year. So 45% increase is due to the increase in the number of days, but this is also a seasonal impact, which is due to production methods with higher increase in the first half. [Foreign Language]  In any case this is clearly going to be a focus for us the mechanism that I described before and also changes in the market environments. As a result, we are going to generate cash in H2 and that's the important thing you should note with the mechanical reduction in WCR. And we are undertaking a number of initiatives just to improve DSO. And also improve cash generation it needs too. In absolute terms, when I talk about H2, we need to recognize that performance has been really good in terms of cash generation in H1. Christel talked about that. If we consider our IFRS 1 scope that is all of the activities of the new ERAMET Group free cash flow is higher than €400 million, and because this includes CapEx invested into lithium as I've said before, the free cash flow amount does not include the financing from Tsingshan for €48 million in H1. But if we do included economic terms, we stand at €477 million, which is close to the €500 million that we talked about before. So this includes Tsingshan financing. So in absolute terms, this is a 2.5 times increase in cash generation related to H1 2021. So our performance is excellent in terms of cash generation. And the last point when it comes to net profit our activity in Weda Bay has generated €121 million in H1. So this is increasingly significant when it comes to cash generation -- cash flow generation from our activities. Needless to say, all of that cash generation means that we are able to deleverage, we are able to reduce our debt. So this is the continuation of what we already generated in 2021. As a reminder in 2021, we've reduced debt by about €350 million. So this is an additional amount for the IFRS 5 scope so about €200 million. When it comes to the entire group, scope little over €200 million, so €220 million to be more specific. I already detailed our EBITDA, which was the main contributor to cash. Our working cash -- working capital requirement as well. The CapEx amount which comes to €250 million in H1 in total. Also the contribution from dividends and loan repayments or our activity in Weda Bay in H1. So, all of those items mean that we're able to generate that level of free cash flow.  The other thing you need to bear in mind because it's important in terms of our H1 performance all of the divestments that are underway -- the cash burn €136 million that you can see on the right hand side of the curve and this is mostly A&D and also the partial impact of ERASTEEL. So, the important point here is that, well we talked about the increase in energy costs in commodity prices.  The counterparty is more than favorable, when it comes to our mining authorities – our mining activities pardon me. However, it's not the case not entirely the case for the HPA division or High Performance Alloys division where we really bore the brunt of those price -- of those cost increases from a cash point of view. So, we need to make an effort in order to pass on those increased cost. It's not automatic and so implementation takes while. So the -- there's a lag effect and the timing is negative when it comes to our cash burn. So, €40 million net does the estimate for A&D alone and when it comes to ERASTEEL, we stand at about €20 million. So, this is much of the explanation for the cash burn on those activities in H1. In absolute terms, bear in mind all of those positive impacts on all financial performance we have maintained a very high level of liquidity higher than €2 billion. Bear in mind that, we have repaid the last trench of our revolving credit facility in early 2022. And the other good news from Q1 is the RCF refinancing. So, this is a syndicated loan and we are working with a new pool of banks, so 10 banks now.  Maturity is five years at least for now. So, this brings us to 2027. There are two potential options and the decision will be made in 2023 and 2024. We may push the maturity further to 2029. So, this means we can further secure our balance sheet. And as you can see in the sky-blue color, so €935 million that's the amount of our new RCF. And also we have adjustment mechanisms in place. Our margin adjustment mechanism ties in with our roadmap -- our CSR roadmap. And so we -- this is in relation to two CSR key performance indicators because we want evidence, we want to showcase all of the work we're doing on that subject. CSR corporate social responsibility. So, no major debt maturity not until 2024, obviously we have the bond which will reach maturity and about €500 million in 2024. This does not mean that we are not already looking at possibilities for refinancing that debt. We're listening to what the market has to say all the time, so that we can avail ourselves at the best possible terms and conditions particularly when it comes to the changes in our financial performance in H1. In absolute terms, again and this reflects our financial strategy, a strategy that we already presented to you on closing day when we presented our annual performance for 2021. So, what our objectives in terms of cash allocation? Point number one, and it is important that you note that. This is a very positive aspect for H1. Significant drop in our net debt. So, like I said we have deleveraged over €200 million in H1 2022. And our target through the cycle is to maintain an average leverage of under 1x. And so, we have achieved a target already because we stand at 0.4x which is pretty good. And this means, we are able to maintain a strong balance sheet. The goal being to continue to investigate and explore potential growth opportunities. Now talking about growth, obviously this includes organic growth and this means we're able to maintain our investments into new projects which provide a lot of value added. This is true for our existing activities particularly manganese ore in Gabon. But this is also true for development projects, our Greenfield projects. We'll tell you more about later today. Our Greenfield projects on nickel cobalt for batteries and also lithium. And obviously, we want to keep our shareholders happy. We want to reward them for the long-term commitments and we decided to pay out €2.5 dividend per share for a total amount of €72 million. So this was cashed out in H1 2022. Now, let me tell you a bit more about our operational performance in H1. Item one as Christel said by way of introduction throughout our activities, our growth in production is over 20% relative to H1 last year -- 23% actually. And this is generated by a number of activities that you can see on the screen. First of all Manganese. Manganese ore I'll get back to that in a minute. Now when it comes to Weda Bay, we're seeing strong continuous growth there 33% growth actually. And also SLN in north -- in New Caledonia, despite operating difficulties, adverse weather effects et cetera growth came to 6% relative to H1 2021. And lastly, our Mineral Sands in business unit in Senegal 7% growth in H1. In addition, we're seeing strong production performance in metal working. This is for manganese alloys and also our titanium oxide activity in TTI. Now, this is a summary that's important to understand, because this summarizes changes impresses over the past three semesters -- the past three half years. So if you make a comparison relative to H1 2021, for example or even H2 2021 with one exception, it's important that you bear that in mind manganese alloys. As you can see except for manganese alloys, we find that there is a peak between the end of last year and the beginning of this year. Bear in mind that this peak is being turned around. And we know this is going to happen, we anticipate this is going to happen. This favorable situation that impacted all products in H1 will be turnaround and the trend will be unfavorable in H2. I'll give you more details on all of our product lines in a moment. There are two different ways you can understand this. You can see this is a positive thing because our performance has been strong. But we need to pay close attention to this downward trend that we saw happening at the end of H1 and which will continue in H2. Meanwhile, back at the range. Now, we saw in H1 a strong increase in input costs. Fuel in particular coal and all reductants and also energy prices. Please note because it's important that I clarify this. When it comes to energy prices, we are pretty well protected particularly when it comes to our manganese alloy business in Norway, but also in the US because we have long-term contracts there. And this means we're able to minimize the massive impact that we have seen based on energy prices in previous semesters. This is not true for the A&D activities as I said before. The other aspect is energy costs have increased, but let's not anticipate a drop in those prices in H2. Now we're expecting a balance between selling prices that are peaking that have peaked and that are on a downward trend and also the input costs which already having an impact on H1. Of course, this is more than offset by the increase in selling prices. But input costs will remain high in H2. Freight costs transport costs. The main aspect that I would like to emphasize here and this was true in the past semesters, we've seen a strong increase in freight cost and this is why throughout our activities in Gabon in particular -- particularly our manganese ore business, we have a transshipment project. So we can load up those vessels and the cargo is four times what it used to be. And this has an added benefit. We're able to reduce transport costs freight costs. And in absolute terms we're able to partially offset the surge in costs. And this is also a target productivity gain that I wanted to emphasize. This demonstrates our agility under difficult circumstances. Well, potentially difficult circumstances when it comes to higher input costs. So this project the transshipment project began in January, we continued it in H1. And now we have entered in -- we have entered our nominal performance phase. And this means, we are able to fully offset the surge in freight costs. Let me give you more details on each business unit. Let's start with manganese. As Christel readily said this is important and we wanted to show more transparency in terms of our financial performance on the manganese front. If we look at our history, we used to report year-to-date the ore and alloy activities. And for the first time in H1 2022, we have identified the two main activities separately. And as we clarified a number of times before, we're seeing strong financial performance for manganese alloys. As you can see on the screen this is an activity that generated EBITDA of €128 million in H1 2021 close to €500 million in H1 2022. So we have more -- we have increased EBITDA by factor of four. And this is part and parcel of our excellent financial performance in H1. Same thing out of the €395 million in cash generated by all of our manganese activities, we have €324 million generated by the manganese alloy business compared with less than €100 million in H1 2021. So more than 3x increase. And needless to say, we're riding on the back of particularly high freight cost rather this is happening despite the significant surge in freight cost as we said before. Now also on manganese another important part, 3.6 million tonnes that's the output in H1, so plus 17% relative to H1 2021 bearing in mind that 2021 was a significant year of growth relative to the year before 2020. So we're seeing continuous growth. This is a remarkable performance for manganese. And as I was saying before this is being confirmed on the transport front. This is an important point when it comes to the business unit's overall performance. Now the market environment I'm not going to dwell on that because I kind of touched upon that already. So the market environment is showing a recession or at the very least a decline from the point of view of global output of carbon steel in H1, particularly as a result of the lockdowns in China and this has led to negative growth. Obviously this has an impact on our markets. The good news is as far as we're concerned and we're expecting that good news to continue. This strengthens the quality of our ore, the quality of our grades between 42%, 44% on average. And one of the aspects that we have identified, which is very important when it comes to H1 2022 is the press differential between the two types of grades. On our end this means that we're able to benefit from robust prices despite the unfavorable carbon steel price environment, which can be a little difficult. And this is not something that we expect to continue not at the same level. At the moment the spread between the two ore grades is about $2 per dry metric ton unit. It's going to be reduced by how much we don't know yet. But it's pretty unlikely that this will go back to its historical levels. As you can see on the graph on the right-hand side we were closer to a spread of about $0.5 per dmtu and this means that the spread has increased four-fold and we anticipate that it will remain higher than $1. I was referring to the mineral business. So here we are. This highlights that since 2018, compared to our estimated targets for 2022, we've generated growth of 63% versus 2018, which is excellent performance. The trend is being borne out as you can see for the first half of 2022, growth of 17% as you can see. I wanted to dwell on transport volumes. The fundamental point is the 63% increase from 2018 to 2021. Bearing in mind that in the first half we had -- and 16% increase on first half 2021. So this is excellent operational performance confirming our capacity to transport volumes. It's crucial in order to enable us to completely transform the value of our mining business on manganese ore. Regarding the cash cost and the quality of information -- the high quality of information we're trying to provide we've been trying to provide since the beginning of the year. This highlights the favorable trend in our cash cost, which has declined versus the first half of 2021. Admittedly, there's a favorable currency impact. But the reason why we have earned higher cash costs in particular on tax and royalties, this is a mechanical effect due to volume and price. And this is why we have the 18 sales teams increase taking into account currency impact and the increase in costs, as I was explaining earlier, when I was talking about the group EBITDA. Is that these cost increases are underpinning our growth which has been consistent over the past four years and is likely to -- and will continue in the years ahead. On manganese alloys, this is an important point, our production performance was strong in the first half with 4% growth, but the sales performance was down due to the market. So, it's not our sales performance here, it's the impact of the market and demand in particular the demand for steel in Europe and we expect this to continue to worsen in the second half. Why is it important to mention this because, when production is up and sales become more difficult in terms of outlets and are down on the previous year. That means inventories are up. This is also one of the reasons why we have a higher WCR for the first half. And against the backdrop of prices and the cost situation, which is going to remain difficult for the second -- in the second half, we're going to make every effort to adjust as best we can our production in terms of demand. Nickel business unit, we have very strong financial results. EBITDA up fivefold on the first half of 2021. And EBITDA only includes the SLN performance. Regarding free cash flow, free cash flow includes Weda Bay. Thanks to the dividend impact and the loan repayment. And cash was up from €21 million to €99 million, almost fivefold. Market situation is very favorable. In operating terms, Weda Bay increased its production by 33%. Nickel ore was up -- production was up 6% and exports of nickel through -- on SLN were up 31% on the first half of last year. And the same as for carbon steel, stainless steel had a difficult time, mainly due to China, with China down 7%. I should have pointed out earlier on carbon steel in China, we expect a recovery -- a pickup in the second half, which will enable us to support our manganese business. We don't necessarily expect the same pickup on stainless steel, which may remain difficult in the second half. This is something we have to look at closely. Looking at LME prices and nickel prices, I won't go back in detail on what happened on the LME in March, but what created tensions on the market and difficulties for our clients, because the LME has historically speaking being considered as the reference for setting prices. And we had -- we're faced with a lot of -- face lots of problems in holding down LME prices with our clients. And I would draw your attention to the lower chart with the lag between the LME and the SLN. And what we've pointed out in our press release is that, our prices were between the two. And we -- this trend will not only continue, but it will be accentuated. Weda Bay, first half performance was a significant for -- since the launch of the activity and the production of NPI from 2020 and 2021 for the full year production. Full year production is up fourfold on 2021 and we expect growth to continue in 2022. Looking at NPI, 67% between both years. And to be precise 2021 was not a full year because the launch of the activity was at end of April and that's why we've pointed out that the growth between a normal year, and 2021 stood at 10%, and this enabled us to prove just how strong the ramp up was on this plant at the beginning of its production. Looking at SLN, and this is good news, a lot of positive figures on the slide with figures up on the first half of 2021. We are aware of the fact that 2021 saw a difficult first half due to weather conditions and other factors. And in the first half of 2022, the weather conditions due to the revenue effect were adverse, and they in fact worsened in the first half of this year compared to last year, since we had rainfall 50% higher. And if you compare over the last six years, it's over 50% and numbers of days of rain up 13% versus the first half. So the impact on production was 6% overall, and 31%. Looking at ferronickel the other problem that, we encountered was the energy supply which is which reflects the problems on one of the turbines providing power for the plant in the first half of 2021 and therefore – we decided and we've communicated on this. We decided to have a temporary power plant an offshore power plant, which will – should be commissioned in September, which will enable us to ensure a proper supply of electricity. And this means that we suffered from the energy supply problem in the first half. And although, 2021 was a difficult base the growth was restricted to 10%. And briefly, we announced that we were revising our 2022 target by over 45,000 tonnes, reflecting the difficulties we encountered in the first half. Mineral Sands very good figures here too. Exceptional financial performance. EBITDA doubled on the first half. Cash flow figures may – the main point is – and this was consistent with the previous comment on the group's overall WCR. A major part of the growth happened at the end of the first half in June. June was exceptional. And this is just to say that, this exceptionally high level of cash flow is not a normal level and we'll have generation – of cash generation particularly through our Senegal activity. And in terms of production, I'll go back to TiO2 in Senegal with a growth of 7% both for the whole of the mining activity and for zircon production, which is our most highest – is our highest value generating product. Looking at prices, we expect a relatively stable second half with strong demand, and we are still working on a market which is suffering from a shortfall due to production constraints and this means that we are quite confident about the high prices that we saw in the first half. We expect them to continue in the second half. In terms of production, I've made the key points. Why do we have a 3% decline on TiO2. This is mainly due to the maintenance operations that took place in May. Apart from that, we had very stable production, which in historical terms has not always been the case and strong operational performance on this particular plant, reflecting the momentum that began in 2021 growth of 5% in 2021. I'm going to finish this a very long presentation on our operational performance with lithium. The lithium BU. The first point is our market expectation. We expect the market to continue to grow significantly in the years ahead. This will enable you to visualize the specific figures on the chart. Our project should come on stream in 2024 coming from a peak in demand. So clearly, this is why we are continuing to step-up the development of these projects with price outlook, which is exceptional, $70,000 a tonnes at the end of July. That doesn't mean that we will stay for a long time at this level. And we recall our assumption which reflects analyst consensus $12,700. This is a very conservative estimate both against the backlog of current prices. We don't think it will stay at these levels, which is going to be a very difficult level to accept the end user market. And it also reflects a strong demand for the end of the year. And this brings us to a step-up in our project, which should be commissioned at the beginning of 2024 and completed by 2025. I recall the quality of our processes since the recovery rate of our processes enables us to recover 90% of lithium, which versus other projects which are underway is absolutely exceptionally high. And one of the items on which we have communicated is the increase in expected CapEx for the project to the tune of $65 million. And as for other activities the increase in -- cost increase in freight cost has a direct impact on this CapEx estimate. And we have expected EBITDA which is very strong a very high rate of return as expected. The strong EBITDA forecast in particular is based on very conservative price estimates. So in all likelihood, our profitability will be well above expectation. So that's it for my section. I'll give the floor -- hand the floor over to Christel who will talk about the strategic roadmap. 
Christel Bories: Thank you, Nicolas. Let me say a few words about our strategic roadmap before we conclude this presentation. As you will know we have refocused our strategy. Earlier this year, we published this new strategic road map, which is in line with our new position as a pure player in mining and metals M&M. This road map has two main priorities. Number one, we intend to continue to provide the metals that support global economic development. We're talking about markets that are resilient that grow on a par with the global economy. Those markets include manganese, manganese ore in particular there's still significant potential for organic growth in Gabon and also Manganese alloys. For those alloys we have a value over volume strategy. In particular, we are concentrating on a mix that is much richer, much more premium, much more concentrated in refined products and we have a much greener product with a lower carbon content than the competition. So we are well-positioned when it comes to the whole green steel wave. We are a preferred provider of green steel for our customers. We also seek to develop nickel ore out of Weda Bay mines. This mine still has significant potential growth and it has sustained and robust growth already. So nickel production in Weda Bay and also mineral sense. There's a lot of potential in this business as well. In terms of reducing bottlenecks -- mining bottlenecks in Senegal, but also our plant in Norway. So these projects are not really capital intensive. Less capital is required. These are smaller mines than for other types of ore. So we're able to position ourselves pretty easily and there are growth opportunities we can see. Now, the second priority of our roadmap as you know is something that we're going to fast-track development of critical metals, metals that are essential to the energy transition. And ERAMET is particularly well-positioned, thanks to our mining portfolio. So, by essential metals, I mean lithium, we are busy building phase one of our project. We're thinking of the new phases as well. We have a lithium deposit in Argentina, which has significant potential -- huge potential. So, there will be several stages during which we can ramp up production for that deposit in Argentina, but also other deposits in the same area. And then there are other projects that will get back to nickel cobalt salts for batteries and also better recycling projects. So, what is important? All of our assets that are part of our roadmap are well-positioned. Within the first quartile the only exception being the SLN plant. Now, our operations are based on some of the best CSR practices found on the market. The carbon content is lower than the competition and this means we are well-positioned, particularly since in most of our metal working activities. We use low-carbon energy sources, mostly hydro, and we are developing renewable energy sources both for our projects and our processes using bio reductions in particular. So, as a result, our ambition is to truly be at first to be reckoned with in this new era that is beginning in terms of essential metals. So, this is where we have the most projects our position both down to staying upstream from the whole battery life cycle so we position ourselves in mining and first processing. So, nickel and cobalt from Indonesia and lithium from Argentina and potentially also from other deposits in the future and also we position ourselves at the end of the circular economy cycle we recycle batteries when they come to the end of their lives. Now, our nickel-cobalt project. So, battery-grade nickel-cobalt. We jointly developed this project with the BASF. It's proceeding at pace. We have clarified the scope. So, HPAL only. So, it's a high pressure acid leaching process that we use to produce MHP, mixed hydroxide precipitate. Our capacity has been revisited. This HPAL should come to 67 million tonnes per year of nickel and produced 7.7 million tonnes per year of cobalt. So, the project ownership structure is 51% ERAMET, 49% of BASF and we should be in a position to make the decision at the very end of 2023 as well. So, FID will take place at the end of this year and maybe at the -- in the early days of 2023 and this means we should start production in early 2026. Obviously, and most importantly, we will work in line with the best environmental and societal standards and also our own values. We are working in line with the IRMA standard as well. No ways to discharge at sea. That is our commitment and we're lobbying across the world to make sure that no nickel-cobalt operation would lead to such with discharge at sea. So, those environmental standards mean that -- actually the stand us in good stead when it comes to all of the HPAL projects that have developed and are continuing to develop in the region. So, when it comes to the other project battery recycling, we are working in partnership with SUEZ for the inbound phase of the process we're initiating the pre-industrial phase of a blackmass production process. So, if we clear all of the different milestones, we should be able to start production of blackmass in 2024. And when it comes to the outbound or downstream segment, when it comes to refining the blackmass, we're working alone. So, this is 100% ERAMET project. So, in 2022 we're starting construction and operation of a pre-industrial demo plant at our R&I Center in Trappes in France and to continue to operate over the next 18 months. And our goal is to start refining operations assuming again that we clear all the necessary milestones at the end of 2025, early 2026. So, this about wraps up what we wanted to say to you. To conclude our presentation, I would say that clearly in H1, we delivered excellent results of riding on the back of a very favorable price environment. And as we explained to you, but this is something that you will know H2 is going to be much more complicated. There's going to be a lot of uncertainty when it comes to demand, particularly depending on how quickly the Chinese economy starts up again. China is our main market. And also, there is a significant slowdown in the European economy. We need to bear that in mind. So, we're working in line with price consensus. We expect prices to go down in H2, particularly manganese alloy prices as you can see this trend began in Q2. We're seeing this in July as well. Manganese alloy prices were extremely high in H1 as you saw. However, as Nicolas said, input costs, energy in particular and coke, should remain extremely high. And so, when we combine these two contradictory trends, there's a strong negative impact of all externalities in H2 relative to H1. When it comes to our internal objectives, well, we're maintaining our output targets, except for SLN, which simply cannot catch up with the volumes lost in H1. And of course, we are still -- all hands on deck when it comes to operational excellence cost control and cash flow optimization. The goal being to ensure that we can keep inflation under control. Inflation is taking place across the board impacting all of our costs. All of our costs are increasing. Maintenance, transport costs, subcontracting costs as well. So, we are faced with generalized cost inflation. We managed to keep a lid on it by increasing productivity and volumes in H1, but we are strengthening our cost control efforts, because it's still a priority in H2. Despite that inflationary environment that is also fraught with uncertainty, and bearing in mind, our good performance in H1, we have slightly revised our guidance upwards. So, €1.6 billion approximately, instead of €1.5 billion that was our previous guidance, in terms of our EBITDA target. One last thing. The group expects to generate a lot of cash in H2. So strong cash generation. There's a seasonal effect, a favorable seasonable impact, a better half year in terms of working capital requirements, which we expect to generate a lot of cash in H2, and we will continue to deleverage significantly, which is important. Obviously, in order to maintain our financial robustness, in order to -- whether those times of uncertainty, it's important to have a strong financial structure. That's it for us. If you have any questions, we are on hand.
A - Christel Bories: Do we have any questions?
Unidentified Company Representative: I can’t see the crowd because of the spot light. Please raise your hand and wait for roaming microphone.
Unidentified Analyst: Hello. I have a question regarding the state of supply, when it comes to manganese ore and manganese alloys. Earlier this year, you talked about, the difficulties experienced by some of your competitors when it comes to ore in particular in Brazil. But when it comes to alloys, we know that Ukraine is having a hard time continuing to produce silicon manganese. So, how -- in what way is that impacting the market?
Christel Bories: You're absolutely right. Nicolas did not comment upon, that but you may have noticed on that slide that we showed you, the slide of manganese. It's true. If we take manganese ore output of carbon steel is down. And so, manganese demand is down. However, there have also been supply constraints in H1, particularly in South Africa. There were logistics problems, transport problems, railway problems, loading problems in ports as well, and also, cost inflation led to a significant surge in operational costs and transport costs as well. As a result, the players that stand on the right-hand side of the curve cost well-tended to reduce their production costs. So, there have been disruptions. They have affected some of our competitors, particularly in Brazil and supply constraints in South Africa. As a result, inventories tended to go down in Chinese ports, and also because of the surge in energy prices, the market demand for ore, high-grade ore, is even higher and our main competitor there, has also seen its output go down. As a result, the 17% increase in Comilog output was a welcome factor on the market. We were able to benefit from that, despite the drop in demand and despite the supply constraints. So much for ore when it comes to alloys the situation is different from one country to another demand for manganese alloys was down by 18% in China, so a significant drop in demand. Demand was pretty low. And, yes, this means the market is contracting, but also more supply constraints. Privat is a major producer in Europe, they operate out of Ukraine. And their output was well their production facilities shut down and they started again but the volumes were much lower than usual. And feel free to take a closer look at our different documents but the manganese alloy price plummeted as early as Q2. And even in H1 relative to the peak that we reached in the fall of 2021 this is not true of silicon manganese actually, which is what Privat is producing. So silicon manganese prices did not go as high. We need to be that in mind and they were not affected downward in the same way because there was a shortage of silicon manganese on the market. So we took advantage of that. And we shifted output to silicon manganese. We switched from refined products to silicon manganese. You got to bear in mind that this is less lucrative as silicon manganese is a commodity is a much more standard product than refined products, for example, low carbon products for the automotive industry. So in volume terms this helped us. But the mix is less lucrative as far as we're concerned. So are you going to stick to a 50/50 split, refined versus silicon manganese. The share of refined products is going to drop relative to standard products commodity products.
Unidentified Analyst: I have another question regarding the impact of the new vessels you referred to. The new vessels that you're using to transport ore, how much are we talking about? I'm sure there's going to be an impact in value or relative terms?
Christel Bories: Well, first of all, not all of the -- not everything can be transported via these huge vessels because the ports have to agree with the quantities and the customers as well. So those large vessels can only sail to specific ports. Obviously, the volume transported on those large vessels is increased for fold. So we're anticipating three million tonnes. Nicolas, if you can tell us more.
Nicolas Carre: Three million tonnes to be transported via these large vessels, and the expected output is a little over 7.5 million, so only part of our business is affected. But on that part of our business, the gain is rather significant. Yes. I second the motion. I agree that the potential volume that can be transported -- well, the potential volume is 200,000 tonnes. And the total capacity is three million tonnes. Now regarding your question on prices what are the estimated savings relative to the amount we would have paid if nothing had changed? 25% savings pretty much, net savings.
Christel Bories: Now we need to be careful because if we look at the market spread, the shipping market spread between Capesize and Supramax, so there are fluctuations very high at the beginning of the year and then it went back down again. So depending on exactly what time of year you look at, the spread will be different and so the gain will be different. But it's pretty much the same order of magnitude as what Nicolas described. Are there any other questions online maybe? Anybody else is raising their hands? Hello?
Nicolas Carre: We'll take the online questions.
Unidentified Analyst: Going back to SLN, do you expect an improvement in the cash cost for the years ahead? And in the near-term, can you specify the ramp-up to achieve the €6.8 million export in ore?
Christel Bories: Cash cost, well, difficult to say how this will move. It's very much dependent on energy costs. And it's even more important to Doniambo than elsewhere. At present, energy cost is approximately $220 per megawatt. So having electro-intensive with that level it is rather difficult. And this brings down the cash cost and we had some disruption as Nicolas said due to the fact that we have a shortage of power today, because the plant that provided us with the power had to stop. It was a very old plant and the Caledonian power grid has many problems and the problem of availability should improve and only from September and it will gradually be ramped up and it's very good that that decision was made, because otherwise this really was -- would have been a threat to the plan, but we have a strong variation in external costs. In particular that of coke, coke prices went up four-fold. So cash costs are very much dependent on external factors irrespective of our productivity. So we're not giving any absolute figure for the cash cost for the SLN, nor others. And regarding the 6 million tonne exports, well, that will be very much dependent on a number of factors, external factors; for example, weather conditions, social problems in Caledonia. We had problems in Poum, elsewhere, with our contractor, our local contractor. So the increase was not planned, in fact, for the €6 million target is only expected from 2025-2026. So we'll have to see whether we can go through the various steps and this will be dependent on the local situation.
Unidentified Analyst: Carrying on with energy matters, what is your present exposure to gas in terms of consumption? Do you have a supply problem? And in the longer term, I think, you plan to use a gas in your electro-intensive project in Weda Bay. And for the new plant expected in New Caledonia is -- does this call into question future developments, given the price of gas? 
Christel Bories: Well, I'll let Nicolas answer that question regarding consumption. Just for projects, we don't have any electro-intensive projects on nickel in Indonesia, because the plant there, unlike pyro plants, makes very little use of energy. So it's not energy intensive at all and we plan to have renewable sources of energy. So we'll have some fossil energy, but we're establishing solar power to be used for the new projects. So that wouldn't apply here. Regarding the SLN, there is a plan which is to step up the availability renewable energy under the new energy plan in New Caledonia, which should provide us an increasing amount of renewable energy, part of which will indeed be a gas in order to offset the lack of sufficient renewable energy. But we have a memorandum of understanding with the New Caledonian government on this, and this will be dependent on the speed at which New Caledonia provides us with its new capacities. And bearing in mind that the offshore plant will start off using fuel. No gas is available in New Caledonia. And it can switch to gas as soon as gas becomes available in New Caledonia.
Nicolas Carre: And regarding the current exposure to gas on our current operations, this is mainly in our Aubert & Duval business. And this is one of the reasons why we had such a large impact of the costs which were not covered by our customers. So that's where our main exposure lies. We don't have a supply problem. It really is an issue related to cost.
Christel Bories: As I've said we're talking about hydrometallurgy across almost all of our plants for manganese alloy production apart from the United States plants. And in France, we have a mix which is -- well, we don't have much exposure to gas on ongoing business for the time being.
Unidentified Analyst: Regarding your lithium project Argentina is a high-risk country in terms of currency and repatriating income. How will you manage the risk? And how do you expect to be able to have access to the cash?
Christel Bories: Well, I would ask the person who asked the question to look at the decrease, which has been adopted some time ago with -- on our initiative and actual facts and to a large extent in Argentina on the extractive industries, in particular, lithium, which, as an exception for this industry and for these projects authorizes cash transfers. And this does not cover all of the cash, but depending on the size of the project it enables a fairly significant amount of cash arising from the – depending on the CapEx. So that should enable us to repatriate a large part of the cash flow under current Argentine legislation contrary to other sectors in Argentina. And as I have said, our policy is to continue to invest in order to have incremental phases starting off with the initial source so we're going to invest in Argentina going ahead and part of this will be used for reinvestment and for the rest this can be transferred through based on the legislation for extractive industry.
Unidentified Analyst: Regarding cash generation looking at your WCR, you've announced an improvement for the second half. What are the concrete steps you're going to take to improve the WCR in the second half?
Christel Bories: Nicolas?
Nicolas Carre: Well, this is one of the points I mentioned during the presentation, namely that, given current uncertainty surrounding the manganese business is to adjust our production, when and where necessary. In order to avoid producing quantities that the market does not have any needful and we will select the plants, where we have higher input costs that would be the first measure. And secondly, and I didn't mention this in the presentation. Secondly, we suffered somewhat in the first half from the administrative slowness, due to lockdown in China regarding letters of credit. This improved at the end of the first half, but there's still some problems there, and we're going to continue to have to make more efforts to step up, or accelerate these processes in order to make sure that we get paid as quickly as possible. That's the second measure. And in any event, we will continue to work on our inventories and our supplies to avoid having excess inventory, of raw materials in the event of a slowdown in our business. And this concerns our mentality. That's for the –
Unidentified Analyst: Regarding your investments several questions. First of all, you mentioned a decline in your investment projects. Can you specify the reasons for this decision? And on CapEx there is CapEx, a increase in CapEx growth on manganese. Can you state the areas where there will be a step-up in CapEx for example to build up the new platform in Gabon and UKAD, what are your priorities for cash flow for this year?
Nicolas Carre: For the first question, if I understood correctly, this was on versus our – regarding our guidance, the fact that we cut back by €50 million. I think, I answered the question during the presentation. To summarize, it's focusing on the fact that, focusing on investment efforts on projects that create value quickly given current uncertainty. This does not according to question our growth plans, and specifically. Regarding the second question, which is what are we doing regarding the continued developments for manganese or in Gabon. We're going to continue to invest. That's very clear. We're going to continue to work on our productivity on the efficient use of our plants. So we have a specific effort to make here regarding our growth in Gabon. We're going to continue to do that. Perhaps with slightly less emphasis, because in 2022 we've devoted very significant funds to this. And regarding our capital allocation project, I tried to answer the question during the presentation, and that was the slide that set out our priorities. The first was to continue to strengthen the balance sheet of ERAMET, which was the case in the first half. And this will continue in the second half, the idea being to continue to bolster our position to ensure our strategic transformation. And the second priority is to invest in value-creating projects, which reflects our strategic road map. That's the second part of slide number 20 both on brownfield projects, I've spoken about Gabon. We'll continue to do that once again. And also on, greenfield deployment and we spoke at length about that in the presentation both on projects in Indonesia for the HPAL plant, and also the project regarding lithium. And the third priority of course is to continue to pay out dividends to our shareholders.
Christel Bories: So just one point perhaps here to shed some light on the reduction in CapEx guidance, this was partly answered in the question on SLN. We had -- the plan was to have stronger CapEx to reach the six million tonne mark at present given current difficulties. Some of these CapEx targets have been pushed back because it's difficult for us to ramp up at the speed that we had planned for. So -- this is part of the CapEx cuts that we decided on as part of the new guidance.
Unidentified Analyst: And to conclude two questions on funding, you've established a new RCF. Can you estimate the cost on your financial interest expense and for 2024, you have a bond maturing, are you going to refinance this because the window of opportunity may well be closing faster than in plan?
Nicolas Carre: Well, the first question, well that shouldn't have any impact on cost RCF target is to have it secured depending on the outlook and backdrop. That's the first reason for having an RCF. The RCF has not been drawn down by at all in June. So we're going to -- the financial impact for the time being is zero. We have not drawn it down. And we have readjusted it, resetted under very similar -- on very similar terms if we were to draw down. Now regarding the bond issue which matures in 2024, I tried to answer the question in the presentation. At present we're very sensitive to market conditions. Market conditions have been extremely difficult in recent weeks, but we're not going to wait probably for the maturity in 2023 to look for a refinancing of this particular bond issue. So we're going to be continuing to look very closely at this in the weeks ahead. And we might launch a new bond issue if we feel it's appropriate, depending on market conditions.
Christel Bories: There are no other questions on line. Is there any, further questions in the room? No. Well, thank you very much. Thank you all very much. And see you very soon, because we'll be seeing some of you again, in the days and months ahead. Thank you.